Operator: Good morning, everyone and welcome to the Duluth Holdings Incorporated First Quarter 2024 Conference Call. [Operator Instructions] Also note today's event is being recorded. At this time, I'd like to turn the floor over to Nitza McKee. Ma'am, please go ahead.
Nitza McKee: Thank you and welcome to today's call to discuss Duluth Trading's first quarter financial results. Our earnings release which was issued this morning is available on our Investor Relations website at ir.duluthtrading.com under Press Releases. I'm here today with Sam Sato, President and Chief Executive Officer; and Heena Agrawal, Senior Vice President and Chief Financial Officer. On today's call, management will provide prepared remarks and then we will open the call to your questions. Before we begin, I would like to remind you that the comments on today's call will include forward-looking statements which can be identified by the use of words such as estimate, anticipate, expect and similar phrases. Forward-looking statements, by their nature, involve estimates, projections, goals, forecasts and assumptions and are subject to risks and uncertainties that could cause actual results or outcomes to differ materially from those expressed in the forward-looking statements. Such risks and uncertainties include but are not limited to those that are described in our most recent annual report on Form 10-K and other SEC filings as applicable. These forward-looking statements speak only as the date of this conference call and should not be relied upon as predictions of future events. And with that, I'll turn the call over to Sam Sato, President and Chief Executive Officer. Sam?
Sam Sato: Thank you for joining today's call. Let me begin by stating that despite some key quarter wins, we are not satisfied with our first quarter results which fell short of our internal expectations. Our top line performance had a decline of 5.7% was hampered by challenging traffic in a subpar in-stock position following stronger-than-expected unit selling late in the fourth quarter. In fact, we entered the first quarter with inventory levels 19% below the prior year. We took swift action to improve our in-stock position in core items which improved throughout the quarter and into Q2. Let me highlight a few actions we're focused on to improve our results. We are doubling down on our efforts to further leverage technology to deliver more targeted advertising to drive incremental traffic, both online and in stores. We continue to leverage additional streaming platforms and vendor technologies to hone our marketing efforts and to better target specific audiences and markets. Across our 65 store fleet, we're elevating events to emotionally engage with existing and new customers within our local markets. For example, during the first quarter, we successfully tested an underwear trade-up event. On the day of the event, store traffic jumped more than 50%, contributing a 120 basis point benefit for the entire quarter. And more than 1/3 of the underwear trade-ups were from female shoppers which remains a key strategic growth opportunity for Duluth. During the quarter, we completed a comprehensive benchmarking study to identify opportunities to improve our operating margin, working capital and asset efficiency. More to come on this initiative over the coming quarters. And finally, we've engaged a third-party expert to partner with our internal team to conduct an in-depth review of our retail strategy to identify efficiencies and solidify our go-forward plan. As you can see, we're not standing still. We've taken immediate action to improve our near-term performance. We're in the process of identifying opportunities to build on our successes and drive further efficiencies across our operations and we are controlling what we can control. Although there is much work ahead of us, we have made significant progress on our foundational initiatives aligned with our long-term strategic road map. Let me highlight a few key wins during the quarter. Our Adairsville, unit fulfillment costs were 56% lower compared to the prior year average of the remaining 3 fulfillment centers. And we process 60% of total volume in the first quarter through this facility. We are now moving into Phase II of evaluating our fulfillment center network footprint. In mid-April, we diversified our carrier base, lowering our outbound shipping costs. As we discussed on our last call, we meaningfully advanced our sourcing and product innovation functions, this is a critical strategic unlock for the business which will allow us to bring to market high quality, innovative products more frequently, increase our speed to market and significantly reduce our product costs. I'm pleased to report that this initiative is delivering product cost improvements above our expectations and we have clear line of sight to continued benefits this year. We continue to see the positive outcomes from our previous re-platforming investments in our duluthtrading.com website to the next generation of e-commerce tailored for mobile usability. In the quarter, our mobile penetration continued to grow, accounting for over half of our digital sales and more than 2/3 of site visits. We remain focused on enhancing digital accessibility while providing a frictionless shopping experience. Now some product innovation highlights that resonated with consumers. The first layer business grew 4%, driven by both men's and women's. We tested photo-ready prints on buck smooth during the holidays, selling out quickly and have expanded it with new print and more inventory received in April for Father's Day. We shipped the Father's Day 3 pack to Costco as a test to increase our reach with our target consumer who shops at Costco. We're excited to see what opportunities this test enables moving forward. As I mentioned earlier, we tested a successful underwear trade-up event in April that was extremely well received and drove 120 basis points of traffic to stores for the quarter. Women's first layer grew 8%, serving as an accelerator for the overall franchise. Success in women's first layer was driven by Armachillo, Buck Naked and Lost Lake. Drivers with strategic significance include building out the bra business, delivering a 200% increase within Armachillo and representing 45% of that collection for her and our continued focus on size inclusivity with the launch of Lost Lake plus driving 25% of the swim collection for her in the first season. Our DuluthFlex Fire Hose collection grew 1% and as our innovation in Fire Hose HD and Fire Hose sweat management pants delivered significant volume for the quarter. Excitingly, we held a Fire Hose HD try-on [ph] event in stores which result in 25% of the transaction, including a pair of Fire Hose HD pants. The strength in our women's Arlon garden collection continues posting a 4% increase for the quarter driven by overall in print. We continue to build awareness with our female consumer and saw a year-over-year increase in our women's only buyers for the eighth straight quarter. The airline overall consistently ranked as the number 1 style this quarter and our shows your bids campaign was supported through social, retail and print. It's been tagged over 550,000 times across Meta and TikTok with big content seeing the highest engagement rate across our own social channels since the start of the campaign. In the latter half of Q4 last year, we expanded our quick drying Dry on the Fly technology into teas and underwear across both men's and women's. Customers are responding favorably to the new fabrications and these programs are off to a strong start, exceeding our expectations thus far. AKHG Fitness with a successful launch in the latter half of Q4 is on track to add approximately 100 basis points of growth to the overall company sales this year. In Q1, this new collection represented 26% of AKHG sales and will continue to be a growth driver as we expand the offering in outdoor recreational fitness. Successful prints and Colas drove buzz and full price sales in Q1. Within women's Arlon bids [ph], our top 3 regular priced prints were FER, none [ph] and Daisy. We continued our beer collaboration with our men's barbecue shirt featuring Bush Light which was the number 1 choice with twice the sell-through of the overall style. In summary, although our first quarter did not meet our internal expectations, we delivered several key wins. We took swift and appropriate near-term actions to improve the trajectory of the business, we are in the process of identifying and actioning opportunities to drive efficiencies across our operations and our foundational investments are paying off setting the stage for long-term sustainable profitable growth. I remain proud of our team's unwavering dedication to operating with excellence, flexibility and agility, always with our customers at the center of all that we do celebrating the can do spirit, enabling anyone who takes on life with their own 2 hands as our greater purpose. Now I'll turn it over to Heena to discuss Q1 financials and our full year outlook. Heena?
Heena Agrawal: Thanks, Sam and good morning. Let me start by reflecting on my first 90 days with the business. This is a resilient organization. The theme has been resolute in taking on the challenge to future-proof the business. I'm encouraged to see meaningful impact from investments in talent and infrastructure to enable the company to capture the next inflection point of growth. I'm impressed by this team that embodies the desire to excel the dedication and can-do spirit of the Duluth brand. Our strengths span our brand, our unique and loyal consumer base, our innovative and superior product designs are cutting edge and engaging storytelling and the capabilities we have built through key hires infrastructure and technology. The opportunity and in turn, the significant work ahead of ours is to build on this progress. First, to unlock the full profit potential of Duluth's current business. Next to strategically deploy capital to unlock growth and white space opportunities. Let me first elaborate on unlocking the full profit potential of Duluth's current business. We are focused on 3 key areas of opportunity. As Sam mentioned, first, an in-depth review of our real estate portfolio, strategy and operating productivity; second, embarking on Phase 2 of our fulfillment center network footprint to maximize productivity and capacity; and third, leveraging the insights from a comprehensive benchmarking study to unlock structural gains in operating margin, working capital and asset efficiency. As we get deeper into the work behind these 3 strategic work streams, we look forward to updating you on our progress and the potential current business unlocked. Our next lever is the strategic allocation of capital to drive growth in our current channels and capture white space opportunities. To drive growth in our current channels, we are focused on consumer acquisition and retention to traffic drivers to our stores and digital channels. Additionally, we continue to leverage our learnings from tests, for example, Costco as we look to unlock white space opportunities. Recognizing there is much work ahead of us, I'm excited to leverage my experience collaborating with our leadership and teams across the organization to unlock the full potential of our business. Moving to our Q1 results. Today, we reported first quarter 2024 net sales of $116.7 million, adjusted EBITDA of $1.8 million. And an EPS loss of $0.24. Starting with the top line. Our Q1, 2024 net sales were $116.7 million, down 5.7% impacted by lower traffic and in-stock levels. This quarter, sales benefited from the Father's Day order ship to Cosco [ph] worth 310 basis points. The women's business declined 3.3% driven by softness in woven bottoms and no yen, partially offset by continued growth in the Heirloom Garden election, the first layer business and dry on-the-fly selection. Patterns bids and accessories drove continued strength in the women's business. The men's apparel business declined 7.1% due to softness in dry on-the-fly bottoms long tails and AKHG. The decline in AKHG was largely driven by a low in-stock position on our number 1 pant collection. Within men's, we saw strength in the Double Flex Fire Hose program, double flex denim and Buck Naked. From a channel perspective, retail store sales declined 7% as a result of challenging traffic. However, we continue to see healthy shopper conversion. Direct channel saw a sales decline of 10% driven by lower traffic and reduced in-stock levels. Mobile penetration of site visits continued to inch higher, up 100 basis points over last year and mobile sales accounted for 55% of digital sales. Reflecting an increase of 300 basis points over last year. Moving to gross margin. For the first quarter of 2024, our gross margin contracted 20 basis points to 52.8% versus our expectation to see gross margin improvement starting in Q1. While new product costs came in better than expected, we are seeing a delay in impact to gross margin as we sell through older higher cost inventory. Our AURs increased slightly versus last year, driven by a lower mix of clearance sales from better inventory life cycle management. Given the better-than-expected product costing we are experiencing, we continue to have line of sight to delivering full year gross margin expansion of approximately 200 basis points. Now on to SG&A. For the first quarter, SG&A increased by 0.6% to $70.6 million and deleveraged by 380 basis points to last year at 60.5% of sales. As guided in the prior call, we expect SG&A to increase mainly driven by higher fixed costs and depreciation from strategic investments partially offset by improvements in variable cost benefits being realized from these initiatives. For the quarter, advertising expenses grew 4.9% deleveraging by 110 basis points to 10.3% of sales as we continued to invest behind our brands and support new product innovation. Payable or selling expenses which include outbound shipping costs as well as labor across our contact center, fulfillment centers and store fleet continues to improve. Leveraging by 130 basis points. We diversified our carrier base, lowering our outbound shipping costs starting mid-April. And continue to realize efficiencies from our Adega [ph] fulfillment center. Fixed expenses or general and administrative expenses increased 6.2% and deleveraging by 400 basis points, primarily from annualizing depreciation and fixed costs from strategic initiatives like the de-sal [ph] investment initiated in Q3 of 2023. Q1 net loss was $7.9 million or minus $0.24 per diluted share compared to a net loss of minus $3.9 million or minus $0.12 per diluted share last year. First quarter adjusted EBITDA was positive $1.8 million. Our balance sheet remains strong with liquidity of $195.8 million. We took on $11 million of outstanding debt on our line of credit as we accelerated inventory receipts in core items into April and we ended the quarter with $6.8 million of cash and cash equivalents. Inventory balance was down 6% or $8.5 million. Our inventory composition is healthy with 93% in current products and 7% in clearance, flat to prior year. Our capital expenditures were $4.3 million versus $22.8 million in the prior year, primarily used to invest in strategic digital capabilities as per our IT road map. Now, turning to our outlook for fiscal year 2024. We are updating our full year guidance to approximately $640 million in net sales, the low end of our previous range. This includes 60 basis points from possible Father's Day shipment. And 150 basis points of growth from the 53rd week. We expect the first half to be down mid- to high single digits. We expect gross margin for the full year to be up approximately 200 basis points, driven by our sourcing and product development initiatives. Gross margin will be flat in the first half and improve in the back half as we sell through older higher cost inventory, reiterating the expectation of a further improvement in margin in the out years as we continue to optimize our sourcing. We expect SG&A to deleverage by approximately 100 basis points. Advertising expenses are planned to be in line with sales growth at approximately 11% of sales. Variable or selling expenses will continue to leverage by over 100 basis points, driven by transportation savings from addition of carriers as of mid-April and continuing advisable efficiencies. Fixed expenses or general and administrative expenses will increase in 2024, deleveraging by over 200 basis points primarily from annualizing depreciation and fixed cost of strategic initiatives. With that, we are confirming the low end of our prior full year adjusted EBITDA guidance range or approximately $39 million and EPS of negative $0.22. This includes estimated diluted shares of approximately $33 million and a tax rate of 25%. Our capital expenditure spend is on track to be reduced by more than half to approximately $25 million with the primary focus on our strategic technology road map. In closing, we are focused on driving traffic and improved in-stock position, maximizing return from our foundational investments and rightsizing our cost structure. Our capital expenditures are normalizing and our liquidity remains strong. With that, we'll open the call for questions.
Operator:
Sam Sato: Thank you again for joining this morning's call. I want to reiterate our near-term focus is on improving results and unlocking the full potential of the current business. Although our first quarter did not meet internal expectations, we delivered several key wins. We took swift and appropriate near-term action to improve the trajectory of the business, we're in the process of identifying and auctioning opportunity to drive efficiencies across our operations and our foundational investments are paying off, setting the stage for long-term sustainable profitable growth. Thanks again, and we'll speak to you again, during our next quarter's call.
Operator: Ladies and gentlemen, that does conclude today's conference call and presentation. We thank you for joining. You may now disconnect your lines.